Operator: Ladies and gentlemen, thank you for joining Forward Air Corporation’s third quarter 2010 earnings release conference call. Before we begin, I would like to point out that both the press release and this call are accessible on the Investor Relations section of Forward Air’s website at www.forwardair.com. With us this morning are Chairman, President and Chief Executive Officer, Bruce Campbell; and Senior Vice President and Chief Financial Officer, Rodney Bell. By now, you should have received the press release announcing third quarter 2010 results, which was furnished to the SEC on Form 8-K on the wire yesterday after market close. Please be aware this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements among others regarding the company’s expected future financial performance. For this purpose, any statements made during this call that are not the statements of historical facts may be deemed to be forward-looking statements. Without limiting, the foregoing words such as believe, anticipate, plan, expect, and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors, among others, set forth in our filings with the Securities and Exchange Commission and in the press release issued yesterday. And consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements whether as a new result of new information, future events, or otherwise. And now, I’ll turn the call over to Bruce Campbell, Chairman, President, and Chief Executive Officer.
Bruce Campbell: Thank you, operator, and to each of you joining our third quarter earnings call. Good morning and thank you for your interest in our company. Overall, we were very pleased with our performance during the third quarter with our team producing revenue growth of over 17%, which helped to create operating income of $15.5 million and an operating margin of 12.5%, almost doubling last year’s margin. In our airport-to-airport segment, we showed strong revenue growth of 22% with each product line including our newer segments of TLX and Forward Air Complete growing in the double-digit range. We continue to be pleased with our team’s ability to grow not only the airport-to-airport segment, but also all of our new product line offerings. While our solutions team came just short of producing near profit, they did make significant improvement from the cost side of the business, validating the various initiatives we have in place to help us consistently produce profits in this segment. With all the changes we have made in this product line offering is starting to work, reach to a more comfortable than never, we will soon have them where they need to be regardless of the economic climate. I want to close by once again acknowledging the great efforts by all members of our team, both our employees and our independent operators. Thank you very much. And, now, here is Rodney Bell, our Chief Financial Officer.
Rodney Bell: Thank you, Bruce, and thank you, all for joining us this morning. Operating revenue for the third quarter was a $121.5 million, an increase of 17.8% from the third quarter of 2009. In our Forward Air, Inc. business segment, airport-to-airport revenues were $105.3 million, an increase of a $19.6 million or 22.9% as compared to last year. This resulted from nearly a 16% increase in network tonnage and a 5.9% increase in yield. The yield improvement consisted of 3.9% from line-haul processing, a 1.4% benefit from net fuel surcharges, along with a 0.5% positive impact from the growth of Forward Air Complete. Logistics revenues were $16.9 million, an increase of $3.6 million, a 27.1% improvement compared to Q3 2009. In our Forward Air Solutions segment, revenues were $16.5 million, a decrease of 7% compared to Q3 2009. New business wins were not enough to offset the loss of a major customer that contributed to the Q3 2009 revenue base. And, additionally, specialty retail sales have continued to suffer through the quarter, hopefully picking up with the seasonality that comes from Q4. Moving to expenses for the third quarter, our operations and line-haul teams did another outstanding job, managing load factors and network miles. Total PT was 42.1% as a percentage of revenue compared to 42.2% last year. Salaries and wages were up $3.3 million or 11.5%, but were down a 150 basis points as a percentage of revenue. The dollar increase resulted primarily from $1.2 million increase in third quarter performance-based incentives and $1.9 million increase in volume-driven variable wages. Operating leases, depreciation and amortization, and insurance and claims were down 110 basis points, 60 basis points, and 70 basis points respectively. Other operating expenses were down $1 million or 220 basis points, $680,000 or 60 basis points of that was related to a one-time gain related to determination of the capital lease. Our operating ratio was 87.2 for the third quarter compared to 93.5 last year, an improvement of 630 basis points. Operating income was up a 131.3% or $8.8 million on $18.4 million with additional revenue. Net CapEx for the quarter was $1.8 million and $10.5 million year-to-date. Cash increased in Q3 by $15.3 million to end the quarter at $63.2 million. We ended the quarter with $50 million outstanding on our line and $38.2 million available. Lastly, we anticipate the fourth quarter revenues to be in the range of 12% to 17% compared to the same period in 2009 and expect income per diluted share to be between $0.35 and $0.39 compared to $0.22 in Q4. That concludes our comments. Now back to the operator for questions.
Operator: Thank you. (Operator Instructions). And our first question is from the line of Kevin Sterling with BB&T Capital Markets. You may proceed.
Kevin Sterling – BB&T Capital Markets: Good morning, Bruce and Rodney.
Bruce Campbell: Good morning.
Rodney Bell: Good morning.
Kevin Sterling – BB&T Capital Markets: Bruce, how much more do you think you can push pricing? Look at your yields this quarter, they were quite impressive. And along those lines, are you seeing more rational actions by the competition?
Bruce Campbell: A number of things have happened in that environment that’s helped us. Obviously, demand is better than it was a year-ago. Secondly, the LTLs finally woke up and found out more freight than necessary means more profits, so we’ve seen stability on the LTL side, which does affect our customer base. And, I think the big thing is our customers were kind enough to us to accept the rate increase, knowing that a year to year-and-a-half ago, we did the exact opposite and help them get through tough times by lowering rates. So we’re pleased with the way our rates are today. We continually assess when it’s appropriate if it becomes appropriate to increase rates again. But as we sit here today, we’re happy.
Kevin Sterling – BB&T Capital Markets: Okay, thank you, Bruce. And, I’ve been looking at your solutions business, are you pretty much done working through some of that low-margin business, because I think you indicated you expect it return to profitability in Q4, is that correct?
Bruce Campbell: It’s correct. We rid ourselves of the customer that was really hurting the operations. The final part of it left in July. So we had a really two months of not having that and we’re in back table validated was the right decision long term. Those are decisions you have to make you don’t enjoy making that stretch you back temporarily, but it’s similar to not treating any injury, if you don’t get it treated, it’s going to get worse. So we feel good about how we finally have solutions position. It’s taken a lot of hard work by a lot of people to get it to this point and we’re excited about what we can do with it in the future.
Kevin Sterling – BB&T Capital Markets: Great, thank you. And not to leave Rodney out of the fun, Rodney when you look at your SG&A this quarter, it declined sequentially. Do you think that’s a sustainable run rate going forward? How should we think about SG&A?
Rodney Bell: Potentially there’s couple of things there, Kevin. The one thing was we – on the performance-based incentives in Q2, it was pretty much a layup for our people that participated in that, because of the general rate increase along with better than expected tonnages. We made that more challenging in Q3, so the payout was less. We had better experience in work comp in Q3, so that’s a crapshoot whether or not that’s going to be the same going forward. And to the lesser extent on the solution side that particular customer that Bruce was talking about was about twice as labor intensive than our average customer on solution side. So to answer your question, a portion of it is Kevin and a portion of it isn’t.
Kevin Sterling – BB&T Capital Markets: Okay, thanks a lot. That’s all I have. Appreciate your time this morning.
Rodney Bell: Thank you.
Operator: Your next question is from the line of Alex Brand with Stephens Incorporated. You may proceed.
Alex Brand – Stephens Incorporated: Thanks. Rodney, I just want to pick up on that for a second. Are you saying that in the second quarter you paid out on GRI in the third quarter and going forward you’re not paying incentives on GRI?
Rodney Bell: We factored the GRI and that was beyond the control of the participants to influence. We basically raised the bar to not pay them on the GRI in Q3.
Alex Brand – Stephens Incorporated: Okay. And what about – it looked like other operating expenses were a lot lower than we expected. Is there anything one time in their?
Rodney Bell: There’s the one one-time Kevin. It was 600 – Alex. Pardon me, Alex.
Alex Brand – Stephens Incorporated: There was – what was the one time again?
Rodney Bell: Six hundred – you got me rattled a bit, pardon me. $680,000 it was related to the termination of capital leasing and reupping on operating lease in the facility. And the rest of it, it was just good cost controls.
Alex Brand – Stephens Incorporated: Okay. All right. And when you talked about in the release about the – that there was a lull in the quarter and then it was more peak like. And can you give us a little more color on how it trended during the quarter and just how strong that trend was later in the quarter and into October?
Bruce Campbell: If you recall, we went back. If we go back, Alex, to – towards the end of December, everybody was jumping out down that the world was coming to an end for the second time. We tend to want to deal with facts. And if you look at the facts, we like to look at tonnage per day. So in July, our tonnage per day was just over 7 million pounds, and the average shipment size which we believe is a great indicator was 7.36 million pounds. In August, that number fell to 6.5 million day, and the average shipment size dropped to 7.17 million pounds. So it validated what people were saying. Then what happened in September was it jumped back to 7.148 million pounds per day, and the average shipment size jumped to 7.34 million pounds. So, while there was indeed a low in August, it came back to a really good month in September. And, year-to-date, or pardon me, month-to-date, and remember it’s month-to-date, we’re not predicting future here, it’s even higher it’s just shy of 7.5 million pounds per day on average with an average weight per shipment of 7.39 million pounds which is one of the best that’s been in quite a while. So all of that having been said, we believe we’re going to have a pretty good fourth quarter. The numbers indicate that it will be, but now we thought that two years ago and the bottom fell out on us and everybody else. But as we sit here today it looks very good.
Alex Brand – Stephens Incorporated: Okay and just one more. When you get into 2011 and it’s maybe more whatever sustainable or normal it’s going to look like, if it’s still a pretty slow environment and you’ve got let’s say mid-single digit volume growth or pick a number, is it going to – is that a strong enough environment to continue to push price and drive the operating leverage and drive the bottom line? Any help you could give us on how to think about that would be appreciated.
Bruce Campbell: I think if we thought of your scenario that we are having some growth and we are experiencing decent volume levels – what I call decent volume levels, then in fact we can continue to improve the profitability of the company, the leverage will continue, and things will be good perhaps not as dramatic obviously next year as the change has been so far this year over a year ago. So, can we continue to improve? Without question. But, obviously, the key part of that is we need to continue our revenue growth.
Alex Brand – Stephens Incorporated: Okay, thanks Bruce.
Bruce Campbell: Thank you.
Operator: Your next question is from the line of Todd Fowler with KeyBanc Capital Markets, you may proceed.
Todd Fowler – KeyBanc Capital Markets: Thank you. Good morning, Bruce. Hi, Rodney. Bruce as a follow-up to Alex’s question I guess thinking about the trends that you saw during the quarter, it seems like it’s a little bit different than what we’ve heard from some of the truckload carriers who’ve reported today, obviously the businesses are going to be a different model. But if you could talk a little bit about what you think that you’re seeing relative to maybe some of the overall freight trends that we’ve seen recently, maybe that could help reconcile some of the differences in your volume activity.
Bruce Campbell: Well, first of all, thank you for getting Alex’s name right. You know, as we sit here today again, just simply looking at the facts, I mean business is good, and we’ve even seen a pickup on the solution side, which we were scared to death that wasn’t going to happen because of the market conditions of the retailers, but they’ve actually bounced back fairly nicely too. How long does that continue? Again we are autonomous, but all indicators tell us it’s pretty good, it’s not great, it’s not what I would call robust but it’s good. I mean we’re having solid numbers across the board that aren’t being contaminated by say certain unusual activities, maybe one customer goes wild because they want something and that’s going to only last 30 days. So overall, just in general, it’s a pretty nice market today. And we understand what you’re saying about the truckload guys. But even when they had their peak or that things got really tight on their side back in May, June, we were still chugging along. So I’m not sure you can draw very many comparisons between our product offerings and their product offerings.
Todd Fowler – KeyBanc Capital Markets: Well, and I guess does it feel like you’re picking up some share from some of your competitors as they change their business models or their approach to the market or do you think that there is maybe a little bit of a fundamental change in what’s going on in shipment patterns as people are trying to be more cautious with inventory levels, you know just kind of any thoughts on those trends.
Bruce Campbell: Yes, what we’ve been seeing probably for a year now. First of all, we have competitors and like to think we know what’s going on there, but it’s very difficult to identify, did we take this away from so and so with few exceptions, that’s just difficult to do. On the general transit, we’ve said in the past, we believe a change occurred in the industry where a year to a year and half ago and two years ago the only thing that mattered to any shipper or freight was how low could you get the price, And then the other thing that mattered was they had to get their inventory levels as low as possible. In some cases they risk as well know stock outs. Well, when you get the inventory levels as low as they are today and even with some rebuilding there’s still what I consider to be record low levels. Then when something has to be replaced it can’t just ride on a truck to get there sometime next week, it has to be put into an expedited system. It has to arrive; if it’s scheduled to be there on Tuesday that’s when it has to be there. And the other side of the equation is people say, “Well, wouldn’t they use more air freight?” Well, some air freight yes. But there’s a good friend of mine, he runs a very large logistics department and a very large company says, “Anytime they put something in the air they regard that as a mistake.” So we believe expedited trucking, time definite trucking whatever you want to call are product line offerings is absolutely the right place to be in this economy.
Todd Fowler – KeyBanc Capital Markets: Okay, got it. That’s helpful. And I guess more specifically thinking about the fourth quarter revenue guidance. It seems like the yields are going to be firm and you try keeping out where you’ve been running to the third quarter. What’s really implied in the revenue guidance from a tonnage standpoint, the comps become a little more difficult? And then what are you thinking about in the pool side, now there’s been some shift in the revenue, what should we expect from pool revenue in the fourth quarter?
Bruce Campbell: There’s couple of things –
Todd Fowler – KeyBanc Capital Markets: Todd.
Bruce Campbell: Todd.
Todd Fowler – KeyBanc Capital Markets: It’s early I know.
Bruce Campbell: It is early. There’s couple of things, Todd. The normal seasonal trends that we start experiencing coming out of September and going into October, we expect those to continue. On the pool side, what’s implied in the guidance is that it would – the same contribution to the operating income line item that we had in Q4. We have at least that good a contribution in Q4 2010.
Todd Fowler – KeyBanc Capital Markets: Okay. And then the last one that I have is, thinking about the pool business again, what should we expect at this point for some organic revenue growth into 2011, now that you’ve gotten rid of some customers and kind of changed the business? What’s the expectation for what that business should grow on an organic basis next year?
Bruce Campbell: We’re getting – Todd we’ve got that modeled in the mid-teens.
Todd Fowler – KeyBanc Capital Markets: Great. Okay, thanks a lot guys, good luck.
Bruce Campbell: Thank you.
Operator: (Operator Instructions). Our next question is from the line of Michael Fountaine with RBC Capital Markets. You may proceed.
Michael Fountaine – RBC Capital Markets: Good morning, guys. How are you doing?
Bruce Campbell: Good, thanks.
Michael Fountaine – RBC Capital Markets: Good. Just wanted to kind of follow-up on Todd’s earlier question. As you shed some of the, I guess, the unprofitable business finished getting that out of the network in July, has there been any change to your thoughts on getting the FASI segment profitable for more than I guess for three quarters of the year? I know you kind of worked at it this quarter and I know the first quarter is generally weaker. But can you just give me a little update there?
Bruce Campbell: We are consumed with those thoughts. I mean we have worked so hard – our team has worked really hard to get that operating segment to the levels of profitability that are acceptable to us. And unfortunately we’ve had to go through some difficult decisions and some difficult situations, but that’s the price you have to pay. We think we now have them – we like to talk at Forward Air that we are highly disciplined, that we understand how to operate, that we understand how to fundamentally operate a business, and quite candidly there have been times that’s been a disappointment on the solutions, part of that we caused and part of that was caused by the just the environment and economic environment. We think as we sit here today, we’ve got most of the bad out and we’re ready to really get this group going in the direction they need to go, where they consistently produce a profit.
Michael Fountaine – RBC Capital Markets: Okay good. And then as a last follow-up to that; and when you say that you expect the division to contribute the same as it did last year, is that on the dollar basis or just on a margin basis?
Bruce Campbell: That’s on a dollar basis.
Michael Fountaine – RBC Capital Markets: Okay thanks so much, I’ll let somebody else have it.
Bruce Campbell: Thank you.
Operator: And your next question comes from the line of Ken Hoexter with Bank of America Merrill Lynch, you may proceed.
Wilson – Bank of America Merrill Lynch: Hi, good morning, Bruce and Rodney. It’s Wilson [ph] sitting in for Ken.
Bruce Campbell: Morning.
Wilson – Bank of America Merrill Lynch: Morning. Bruce and Rodney, if I get a quick question in about just the CSA 2010 rulings that might come out at the end of October and November, I mean have you guys heard just in terms of kind of signals from Washington what you guys can expect from that and what are you doing in terms of just preparing your owner operators for the likelihood that the hours of service and kind of regulations so that we enact for them?
Bruce Campbell: Well joining us this morning is our Chief Legal Officer Matt Jewell. And one of his very important initiatives has been and will continue to be to update us on CSA. So I’m going to let him answer that question.
Matt Jewell: That’s a great question. We’ve actually spent a lot of time since finding out about CSA 2010, gauging our fleet as it currently stands, and how it would stack up under the new requirements of CSA 2010. We’ve actually engaged a company who was tracking the CSA scores to sort of model what that would look like once it’s actually rolled out. And we think we’re very well positioned in the marketplace. And we think that it’s not going to affect our fleet. I think it’s going to affect the fleets of lots of other companies in some way, shape or form, may be a positive in terms of the environment and available transportation out there. So, right now, we feel like we’re in the right place. Lot of things are unsettled in Washington. They’re continuing to look at some of the different basics that are involved in the CSA 2010 process; one of which is whether you count all accidents the same, whether they’re preventable, not preventable, et cetera. And so there are some unsettled things. Some of the things they have changed have helped the companies get better visibility is how they’re going to stack up once 2010 is rolled out, which we don’t really know when that’s going to happen. But we feel like we’re in a good place. And we’ve done a lot to get there and we think we’re going to be well positioned.
Wilson – Bank of America Merrill Lynch: Sure, thanks. And I guess my follow-up to that is, I guess in terms of the TLX broker service, I mean do you guys foresee if kind of CSA does get passed through and the results in kind of increased cost for the purchase transportation that you guys have to purchase? Are you going to be able to pass those costs onto your customers or you’re kind of have to take that – take the hit to kind of maintain those relationships that you guys mentioned?
Bruce Campbell: The answer is how devastating is the impact of CSA. And if it affects supply, then obviously, the pricing that we pay after carriers is probably going to go up. We feel that new type of external event like that we can go back to the customer base and get some type of help in that area. But, as soon as I say that and we have to remember, if the economy is in the doldrums at that point, it doesn’t matter what happens we’re just going to have to live with it. So as we sit here today, we watch it very closely. We’re obviously aware of it. But, as Matt said, we’re in really good shape, and we’re not overly worried about it.
Wilson – Bank of America Merrill Lynch: All right, well, that was my last question, thanks.
Bruce Campbell: Thank you.
Operator: Your next question is from the line of Matt Brooklier with Piper Jaffray. You may proceed.
Matt Brooklier – Piper Jaffray: Good morning, guys. And forgive me if my question is redundant. I’m jumping on a little bit late here. But have you guys provided yet kind of an update in terms of October volume and pricing trends within the airport-to-airport business? And also if you haven’t yet, talk a little bit about where pool stands from a profitability perspective here in October.
Bruce Campbell: What we said earlier Matt was that our tonnage per day levels through this much of September are up sequentially over September and our average shipment size, which we believe is the key indicator is also up, so both of those bode well for us as we move forward. The pricing environment has been good for us. We’re in good shape there and have enjoyed some of our best yield weeks of the year in the past month or so. I’m told, as we touched on before, we continue to correct and make some very difficult decisions, but we now feel that we have it positioned where it needs to be. We think that obviously in the fourth quarter we will make profits comparable to what we made in the fourth quarter last year. And then we’re trying to position it the best we can so that we don’t go through the doldrums on a profitability side through the first half of next year. So we think we have it very close to where it needs to be. We’ve done a lot of hard work there and hopefully it’s going to pay off here.
Matt Brooklier – Piper Jaffray: Okay. And also – and again forgive me if I’m being redundant here. But you mentioned going through kind of a strategic review process of diversifying the pool business, where are you in terms of that analysis? And should we think about Forward Air starting to diversify potentially doing acquisitions in pool outside of kind of a core specialty retail that business is currently concentrated in?
Bruce Campbell: Yes, that’s a great question, and that’s a key initiative for us. And today as we sit here, we are working that very hard. Now, to diversify, it’s one thing to say you’re going to do it, but it takes time, and we have had some limited success already, we have a lot of things in the pipeline, so we’re hopeful that that’ll come through. But everything we’re pointed at now in the sales side primarily is to diversify, so that we’re not 100% dependent upon retail specialty. And I would emphasis having said that we still like the retail specialty business, we just want some diversification in there. So a lot of hard work has gone into that and is going into it.
Matt Brooklier – Piper Jaffray: Okay. Thanks for the time guys.
Bruce Campbell: Thank you.
Operator: Your next question comes from the line of David Ross from Stifel Nicolaus, you may proceed.
David Ross – Stifel Nicolaus: Yes, good morning, gentlemen.
Rodney Bell: Good morning, Dave.
Bruce Campbell: Good morning, Dave.
David Ross – Stifel Nicolaus: Just a follow-up more on the pool side of things. You’re talking about mid-teens, organic growth of pool, and that you would like to diversify away from retail. As far as acquisitions are concerned, you don’t have full US coverage yet, do you need to get your pool distribution to a certain level of profitability before you continue to add-on either your bolt-ons or tuck-ins or do you actually need some bolt-ons or tuck-ins to help out with the density and the profitability of pool?
Bruce Campbell: Yes, we would love to have more to stick into our existing network simply to improve the density. So we’re constantly on alert for that opportunity if it were to come along. We will – if the right opportunity came along again in terms of expanding it geographically, it again would have to be not to be redundant if it’s the right opportunity, because we don’t want to rescue somebody that’s about five minutes from going out of business and going through all that pain again. So we will approach that very judiciously. But if the right opportunity again came along, we’d jump it.
David Ross – Stifel Nicolaus: As you guys have said before, this is a highly fragmented market and there’s not a lot of large players, are there enough opportunities out there or is this really going to be more of an organic growth story?
Bruce Campbell: Well, I think not to be redundant. There are a lot of opportunities out there, but there are a lot of really poor opportunities out there that we simply don’t want to go through that pain if you will. So if we were to find the right one as I said earlier, we’d jump it. But today, we don’t know where that is.
David Ross – Stifel Nicolaus: Then in your core airport-to-airport business, you mentioned pricing is firming up and the environment is decent, have you seen any competitors enter the market or are we too early for that yet?
Bruce Campbell: Yes. we’re probably too early. I mean it’s a good question, David. But it’s – let’s say the environment stays as it is, it’ll probably be six months or a year before another one comes in and gets to fail to.
David Ross – Stifel Nicolaus: All right. Thank you very much.
Bruce Campbell: Thank you.
Operator: And gentlemen, there are no other questions in the queue. We like to thank you for joining us today for Forward Air Corporation’s third quarter 2010 earnings conference call. And please remember the webcast will be available on the IR section of Forward Air website at www.forwardair.com, shortly after this call. You may now disconnect and have a great day.
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!